Operator: Good morning and good afternoon, ladies and gentlemen, and welcome to the Millicom Financial Results Conference Call. Today's call will be hosted by Hans-Holger Albrecht, President and CEO; and Marc Zagar, Interim CFO. Following the formal presentation by Millicom's management, an interactive Q&A session will be available. This conference will last for approximately 1 hour. 
 I would now like to hand the call over to Justine Dimovic Head of Investor Relations. Please go ahead. 
Justine Dimovic: Welcome, everyone, to the Millicom's fourth quarter results presentation. My name is Justine Dimovic, and I'm the head of Investor Relations. Today's presentation material can be found on our website, www.millicom.com. 
 Before we start, I'd like to remind everyone that the Safe Harbor statement apply to this presentation and the subsequent Q&A session. With me today on this 1-hour call are our President and CEO, Mr. Hans-Holger Albrecht, and Mr. Marc Zagar, our Interim CFO. Some of you know we have planned to have Arthur Bastings, our EVP for Africa, but unfortunately, he's been held back in Africa so he won't be with us today. We will be covering his parts. 
 I will now hand over to Hans-Holger to give you an overview of our Q4 and full year 2013 results and operational performance. After which, Marc will take you through the financials and we will finish with a Q&A session. 
Hans-Holger Albrecht: Thank you, Justine, and hello, everybody, and welcome to our conference call. I am pleased to be with you again here and this time as well with my colleague, Marc Zagar. 
 Before we get into the presentation and the slides, let me give you some highlights of the results. As you see, today we published a set results showing progresses in the execution of the strategy we outlined last March as we surged past the 50 million customer milestone in the last quarter and achieved over 7% growth during the year. 
 2013 was the first year of our transformation into a digital lifestyle company, and this shift has been accelerating in recent months with initiatives such as the unique partnership with Facebook in Paraguay. That means that the users can use the social media service free on their mobiles. Our music service, for example, has hit new highs too, with 9 out of 10 tracks streamed in Colombia now coming from Tigo Music. Such initiatives have driven the extraordinary growth of data pickup with over 100,000 new users a week and more than 1 in 5 now taking data. This is up by 50% compared to 2012. 
 The pace of changes is continuing this year. This month, we launched the 24-hour Tigo Sports channel in Latin America. It's another big step for us in the constant play that provides live and exclusive local sports, and it will be rolled in a number of other markets where we have the Tigo operations in the coming months. 
 And in a few days, we also launch Tigo Star in LatAm. This is a new brand and a quality branded service that exploits the investments we have in the past in Cablevision and Multivisión in Paraguay and Bolivia, and will also become part of our lineup for our cable and broadband and entertainment outlook. This means that by the end of this year in every market in LatAm, where we have a mobile service, we will also be able to offer a bundle of cable and broadband services. We have seen good growth when it comes to the subscriber side as well. We gained 7% more customers overall and including 11 more percent of customers in Africa. 
 I would like particularly to highlight the extraordinary achievement of adding 0.5 million customers in the war-torn Kivu region of DRC in the 6 months since the end of the fighting there last July. In the next few weeks, we will be launching MFS in Senegal too and announcing another significant social media initiative, this time for the African continent. Those kind of progresses symbolizes our agility, drive and determination. The transition of the company is happening, while we focus on executing within the investment targets we have set publicly -- in public a little bit more than a year ago. 
 So this is the kind of overall impression from my side when it comes to the Q4 results. Let's turn to the first slide, and we start with slide #5. Before we go through the results of the quarter and the full year in 2013, let me start by taking a slightly closer look at our growth plans and see where our focus is when it comes to executing on our strategy. You all know we set an ambitious targets for ourselves of doubling our revenues over 5 years by focusing on 5 strategic pillars. In 2013, we had been investing and laying the foundation for this future growth. And now going forward, I think it's important for us that we start to execute on those targets. 
 If we go division by division, in our mobile business, we're going to focus on driving data penetration and bundling services to increase loyalty and brand affinity. At the end of 2013, over 20%, 22.2% of our mobile base was accessing data. And there's a lot of room, I believe, for it to grow by continuing to invest into those kind of products and offer our customers the kind of relevant product they would like to get through those kinds of services. 
 On the cable side, through increases in homes passed, we will also be able to push up the addressable market, to which we can offer our more, more attractive pay-TV portfolio. To get, however, to our aim of creating a $2 billion business, as we said at the Capital Markets Day last time, we will continue to cross-sell in the cable segment, bringing into new customers with triple play and quadruple play bundled offerings, fixed broadband telephony and mobile. And we may see again some good progress in the quarter, which will -- I'm going to come back to later during this presentation. 
 And as mentioned earlier as well, we take a big step in trading the kind of digital lifestyle company we want to be. This month as, I mentioned, we launched Tigo Star in Latin America, our new brand for cable broadband entertainment. And we start to invest into new brands like Tigo Sports or Star. 
 When it comes to the next pillar, MFS, it's all about increasing penetration of the service that will build the scale we need in order to increase transaction on services such as peer-to-peer and merchant payments, which will take us to the more attractive margin business over time. In 2013 in our lead markets, where penetration is reaching 50% like in Tanzania, for example, we are already seeing this kind of starting to happen in this kind of product lines. 
 On the Online business with the agreement with MTN, we are, I believe as well, in a very good shape to bringing online retail services in full force to Africa, where the gap between demand and offer in the retail and service sectors remains important. We can accelerate takeup of services by taking advantage of the existing infrastructure we have put in place, Internet connection, payment platform and distribution, whether it's in old markets or it is in the MTN market. In 2013, we have seen first of those synergies implemented, and we should expect more to come during 2014. 
 And last, our focus on costs and CapEx optimizations will continue. It should peak in 2013 and gradually decrease during this year and the next coming years even if, for instance, in Africa, we still need to invest the next 2 to 3 years in order to bridge the coverage gap we have with the competition, and in Latin America where we invest heavily on cable coverage and new TV services. 
 If we then move on and let's go to the results of the quarter and the year, if you turn to Slide #6. Just a note that these figures still follow the same reporting as the rest of the year with Guatemala and Mauritius reporting at the consolidated and Online fully consolidated. Our revenue grew a total of 7.3% for the full year and totaled at USD 5.159 billion. In Q4, revenues grew almost 10% in local currency, making it the fourth consecutive quarter of increasing revenue growth. This acceleration resulted from an ongoing turnaround in Africa, where we turned to a high-single-digit growth in the fourth quarter and a very strong performance once again in Colombia where our growth exceeded 20%. 
 The year 2013 was marked by an acceleration in penetration of growth in mobile data -- of mobile data. At the end of the year, 20.2% of our mobile customer base was using data services. And during the last quarter, we converted, as I said earlier, 100,000 customers per week to data, which is a pretty strong number. 
 The penetration on Mobile Financial Services business reached 15.8% across our footprint, growing steadily again this quarter. We now have 3 well-established markets and 4 countries as runners up, growing penetration fast. 
 And finally, our EBITDA margin for the year, excluding corporate costs, Online and one-offs, was 39.2%, which is within our published guidance, although at the lower end. The margin was 38.2% for Q4 in the wake of a commercially active year and festive season. 
 Now let's look at our Q4 performance in more detail on Slide 7. Total revenue for the 3 months ended December 31, 2013, was USD 1,365,000,000, which is up 9.7% on local currencies. Overall in Q4, our mobile business again proved resilient reaching revenues of $1.1 billion for the quarter. On a regional basis, contribution to revenues were again led by South America this quarter with revenues of USD 589 million. Central America generated revenues of USD 481 million, while we are very pleased to see Africa returning to high-single-digit revenue growth with revenues now of USD 268 million. 
 If you then please turn to Slide 8 for a look at revenue growth and contribution to recurring revenue growth. As said, the total group revenues grew by 9.7% or 11.4% on a like-for-like basis versus 13% in Q3 2013, marking another quarter of accelerated growth. Our mobile business growth accelerated nicely to 5.5% in local currency versus 3.3% in the third quarter. 
 Looking at the contribution of the 4 strategic pillars to group recurring revenue growth. In Q4, we generated 61% of group recurring revenue growth for mobile, 11% from cable and digital media, 10% from Mobile Financial Services and 18% from our Online division in the fourth quarter marked by intense commercial activities around the year end. 
 On Slide 9, we have an overview of our growth quarter by quarter and the 2013 reporting parameters. Our pro forma for the 2014 changes in our consolidation perimeter. At, the end of the quarter, our revenue growth, excluding regulatory pressure, was at 11.4%. In local currency terms, the growth was 9.7%. And if you look in the reporting perimeters, the growth would have been 8.2%. In 2014, we are guiding for mid- to high-single-digit growth at constant exchange rates. 
 If you then move to Slide 10 and the big achievements of 2013, I think, firstly, we passed, which is a big moment, obviously, for the company, we passed, for the first time ever, the 50 million customer mark in the fourth quarter. Secondly, the appetite for upgrading to smartphones in our countries has grown. We have seen a clear acceleration in smartphone sales during last year with sales growing 81% year-on-year in the fourth quarter. Additionally, there has been a significant shift in the device mix, with 34% of smartphones sold in December coming from the entry-level segment as opposed to 9% in January 2013. 
 There's also a strong appetite for higher-quality TV content and high-speed broadband access. Double and triple play bundles were up 80% in South America. On Mobile Financial Service, increase in the volume of transaction will be the key revenue drivers going forward. In Q4, transaction were up 56% compared to a year earlier, with the actual amount transferred through our service increased by 42%. 
 Now let's move to the operational performance on Slide 11 and 12, starting with the mobile business. Growth in Q3 accelerated to 5.5% in local currency from 3.3% in Q3, 2% in Q2. Excluding regulatory pressure, growth was up 7.4%. Like in previous quarters, this growth came from new mobile customers, 1.7 million this quarter, and growth in the mobile data revenues of 29.1%. We converted over 1.2 million customers to data, again, this quarter. And good revenue growth was also aided by the stabilization of the regulatory pressure, which this quarter impacted 1.7 percentage points of the revenues and 0.7 percentage points of the EBITDA. Subsidy grew 28% year-on-year in Q4 with the device mix migrating, as I mentioned, already towards lower-cost devices. 
 Moving then to Slide 13 and the cable and digital media business units. We have been preparing there for a new launch taking place this quarter of Tigo Star and Tigo Sports. Revenues grew 10% year-on-year with a focus on cross-selling of our services. We gained new customers, both for pay TV and fixed broadband. And at the end of December, fixed broadband customers amounted to 42% of our pay-TV customer base. We have over 2.5 million homes passed at the end of 2013. 
 If you look at Mobile Financial Services, net addition grew by 50% in the fourth quarter compared to average addition in the first 9 months of the year. Penetration reached nearly 16% of all mobile customer base in the markets where the service has been launched and 12.4% for the total group. MFS ARPU in Q4 was at $1.35, up 3.2% in local currency year-on-year. Penetration growth remained very solid in our 3 leading markets of Tanzania, Rwanda and Paraguay. And clearly, accelerated in El Salvador, where it passed the 10% penetration mark in the fourth quarter. We see good momentum as well when it comes in Ghana, Honduras and Chad. And in those 3 markets, we expect to break the 10% penetration level during 2014. And last, we will be launching the MFS service in Senegal in March this year, so in a couple of weeks. 
 Last, later this month as well, Millicom will launch the world's first international MFS service featuring integrated currency conversion. This pioneering service between Rwanda and Tanzania will enable individuals and business to make simple cross-border transactions from their handsets without needing to go to a bank or a specialist provider. This is one of the many products we will rollout in the future when it comes to our MFS business. 
 If you then move to Slide #15, the Online business. As anticipated, growth in our Online division accelerated in the fourth quarter, while losses remained under control. In 2013, the Online division generated revenues of USD 83 million and EBITDA losses of USD 61 million, in line with our previously revised guidance. In December, we welcomed MTN to the partnership to build online ventures in Africa, subject to regulatory approval, obviously. But we expect this to further boost, obviously, the venture given the very complementary footprint of the Millicom and MTN in Africa. Our partnership with Rocket Internet in Latin America was reviewed in light of these developments. And as we do not anticipate to exercise our control before, the earliest, end of 2016, our agreement was partly amended and we will not consolidate LIH going forward. 
 Before we open up the financials, I'm going to run you briefly through the slides which my colleague, Arthur Bastings, was supposed to run through. But as you can see, he's very active in Africa, so he didn't make it out of DRC early enough to talk to you. I'm sure he will come back one day and then he will be able to answer questions directly. 
 But let me just give the highlights of his business. I think the African business, the momentum is strong currently. Q4 revenues reached $268 million, as I mentioned, growing 9.2% in local currency. And this is a considerable acceleration compared to where we started the year with hardly any growth. Revenue growth recovery is fueled by increasing subscriber base combined with a sustained and stable ARPU in this region. This quarter, the addition was led by Chad, Tanzania and Senegal. In the DRC following our launch in Kivu, growth continued at a steady pace as before. 
 ARPU was supported in Africa by important gains in mobile data. In 2013, Africa went from a low penetration of mobile data at the beginning of the year to nearly catching up with South and Central America in customer numbers. Now over 50% of our mobile customers access mobile data services in Africa at the end of 2013. 
 And if you go to Slide 18, you can see it has been clear for some time that we needed a new approach in Africa to reverse the trends in revenue we saw in previous years. It will not happen overnight. It will take some time. But we can see or we are pleased, at least, that we see first developments and things start to move in the right direction. 
 What is the strategy for Africa? Obviously, we're going to come back more in detail at the Capital Markets Day we're going to have in a couple of months. But let me just give you some highlights. I think the first step is about investing in our leadership and management in the countries to motivate and drive the changes needed to execute on our strategy. We have a new CEO for Africa, Arthur Bastings. Obviously, he was not here. But we have a new team as well based in London, supporting the local teams on the ground and making sure that we have the right people in the countries to execute on this kind of strategy. This is a very important for the markets and has been a kind of a key feature for us in the last couple of months to strengthen that side in order to have the kind of execution skills on the ground. 
 Secondly, we are putting a lot of emphasis on the Tigo brand and trying to get it up to the standards and the level we want to have it, and we're seeking to have a kind of differentiated approach when it comes to our customer. We want to have a more customer-centric approach than just a product approach. 
 We have a good team in place, I think, to get better insight into our customers' needs and understand where we have to improve and respond to them better. Whether it is with our product offerings or customer service or supporting them to understand new services. Again, this shift will take some time, but we have a clear plan. And at least, as I mentioned, the first signs are very positive. The investments we are seeing in brand and marketing are designed to make Tigo a mass market franchise. But at the same time, obviously, trying to capture the kind of future business in terms of data and digital services in Africa. 
 And certainly, as you have seen in our CapEx figures, $333 million for the year, we are investing in closing any gaps in our coverage, increasing capacity to respond to the growing data demand and focusing on expanding our geographical footprint in each market, region by region. And last, we are putting a Mobile Financial Service at the extent of our Digital Lifestyle strategy in the region. There's a huge opportunity, we believe, as management for the convenience that the service is bring to our customers and it allows us to tap into a complement -- a completely new revenue stream in Africa. And add maybe, over time, other services on top. Focus will return on growing penetration, I believe, when it comes to MFS, which at the end of the fourth quarter stood at 23% for Africa. There's so much about the slides about Africa, as I mentioned, we're going to have a multiyear presentation probably at the Capital Markets Day. 
 This is all I can say from my side when it comes to the operation. I'm going to hand over now to Marc Zagar, who will run you through the financial figures. 
Marc Zagar: Thank you, Hans-Holger. So please turn to Slide 20 for the financial highlights. Firstly, let's look at the developments and the revenue drivers and our progress in subscriber acquisition across the 3 business areas, mobile, cable and digital media and Mobile Financial Services. Our mobile customers passed the 50 million mark in the fourth quarter. Homes passed by our cable business grew to over 2.5 million in the last quarter or so. And we gained nearly 800,000 new MFS customers, ending the year with 6.3 million customers or a 59% year-on-year increase. 
 Our mobile business continued to deliver solid growth on the back of good customer intake and mobile data growth, with revenues totaling close to $1.1 billion in Q4 or 5.5% local currency growth. Revenues in cable in Q4 were $116 million, up 10% year-on-year in local currency. MFS revenue continued steady quarter-on-quarter growth with revenues of $23 million for the last quarter of the year. 
 On Slide 21, looking at the revenues in local currency, we have growth of 9.7% in Q4 or 7.3% for the full year. Excluding the contribution from the Online business, in Q4, we grew 8.4% and 5.8% for the full year 2013, still in local currency, making Q4 yet another quarter of accelerated growth. Regulatory headwinds impacted revenues a bit less this quarter, trimming 1.7 percentage points compared to 1.9% in Q3 and 3.2 points in Q2 2013. 
 EBITDA margin continued to evolve in line with our changing revenue mix and totaled $465 million in the fourth quarter, including Online and before corporate costs. EBITDA losses from Online amounted to $23 million in the quarter. Excluding Online, underlying EBITDA margin in Q4 was 38.2%. We will look more closely the EBITDA margin evolution a bit further in the presentation. 
 As expected and as we guided, CapEx expenditure was up in Q4. The full year 2013 CapEx-to-revenue ratio reached 19.4%, excluding spectrum and licenses, in line with previous guidance. We invested $564 million in CapEx in Q4, including $111 million in spectrum for Latin America. For the full year, we spent a total of $1.23 billion in CapEx, including licenses and spectrum of $223 million for South and Central America. 
 Slide 22, if we look at the distribution of revenue growth in the quarter, growth was again driven strongly by South America, which delivered $80 million growth, but we are pleased to see that the increasing -- the increasing contribution of Africa. Central America again relatively flat this quarter. Online contributed $17 million additional revenues, which would have been almost $20 million if we had consolidated AIH for the whole of Q4. Foreign currency fluctuations, mostly due to the volatility in Latin America, had a significant $27 million negative impact on revenues this quarter. So far in 2014, currency has continued to impact negatively our reported growth, in particular with movements on the Colombian peso and Paraguayan guarani. 
 Slide 23, looking at the evolution of revenue growth by BU. Mobile was again the strongest contributor of revenue growth this quarter, growing $58 million year-on-year. Cable contributed a strong $14 million. MFS revenue grew by $10 million year-on-year on the back of steady progress in the penetration of the service this quarter. We also saw a growth of $29 million from other revenues, which include equipment sales as well as MVNO and roaming revenue. 
 Slide 24, taking a closer look at the EBITDA margin evolution. In this quarter, our underlying EBITDA margin was 38.2% or 4.4 points lower than in Q4 last year. If we look in more detail at this 4.4 percentage points year-on-year decline, it has essentially been driven by 2 elements: regulatory pressure on the one hand and investments for growth. The main change you will note, compared to previous quarters, is the stabilization of the regulatory pressure, which reduced margin by 0.7 points at the group level. Stronger investments for future growth in the form of commercial activities and subsidies and building of our categories resulted in a margin erosion of 3.9 percentage points. 
 In Q4, investment in sales and marketing increased 15% or $38.6 million year-on-year to capitalize on the end-of-year opportunity. This is predominantly to support MFS and mobile data, notably through subsidies which grew 28% year-on-year in Q4. With the impact of these items, we arrived at the underlying EBITDA margin of 38.2% for Q4. The margin was further pushed by one-off events totaling $22 million for the quarter, for the most part related to taxes in Costa Rica. The one-offs shaved a further 1.7 percentage points off the margin. Finally, counting in the diluting effect of the Online losses, there was a further impact of 2.4 points to the margin, arriving to the final EBITDA margin in Q4 of 34.1%. 
 On Slide 25, we look at the full year EBITDA margin development. On the full year basis including Online and one-offs, the EBITDA margin was 35.8%. The underlying EBITDA margin for the full year was 39.2%, within our previous guidance of around 40%. For the full year, regulatory impacts on the margin was 1.1 percentage points. Commercial investments and investments into building our new categories further impacted 3.3 percentage points. Adding some positive 0.4 percentage points coming notably from savings in network maintenance, we arrive at the underlying EBITDA margin of 39.2% for the full year. Adding the impact of one-offs for the full year of 0.9 percentage points and Online dilution of 2.4 points, we come to the full year reported EBITDA margin of 35.8%. 
 Slide 26, normalized net profit reached $95 million in Q4, down 39% year-on-year, with normalized EPS at $0.95 per share. The movements are linked to lower EBITDA following investments in category building, higher gross debt, which increased by $900 million and increased depreciation due to investment in our networks. 
 Slide 27, looking at the normalized net profit for the full year this time. This reached $465 million, down 29% year-on-year with normalized EPS at $4.65 per share. 
 Slide 28, free cash flow. Operating free cash flow this quarter was $153 million, down 36% compared to 1 year ago, mostly due to the decrease in EBITDA. Our interest payments were up following increased debt level, notably the $800 million bond we issued in October to finance the UNE merger in Colombia. This left the free cash flow at $80 million in Q4. 
 Slide 29, looking at our debt position. Our gross debt increased by $800 million in Q4 as we issued a corporate bond to finance the UNE merger. The cash currently sits in escrow pending closing of the transaction. Overall, our net debt position is stable quarter-on-quarter at $2.3 billion, pointing to a net debt over EBITDA of 1.4x at the end of 2013. We continue to extend the maturity of our debt to 4.8 years with the issuance of this new corporate bond, up from 3.4 years 1 year ago. 
 Slide 30. Before we move to the guidance for the new year or year 2014, we wanted to share with you the changes in reporting that will take effect in 2014. From 2014 onwards, Millicom will fully consolidate the operation in Guatemala and equity account for the operations in Mauritius and from the Online segment. Previously, the accounts in the Guatemala and Mauritius businesses were proportionately consolidated, and Online was fully consolidated for the most part of 2013. 
 Slide 31, 2014 guidance. Under the new group reporting, which I just described and assuming constant currency, we are issuing the following guidance. We expect revenue growth to accelerate to mid- to high-single digits from a level of 5.5% in 2013, calculated along this new perimeter. At constant currency, we expect reported revenue growth to reach over 15% versus 2013. EBITDA margin, we expect to stabilize around the mid-30s after corporate costs, with benefits from the Guatemala consolidation reinvested in growth opportunities in Africa and South America. In 2014, we expect CapEx revenue to decrease to around 19% for the year after the peak in 2013 at 19.4%. That is excluding spectrum and license acquisitions. 
 So I hand back now to Hans-Holger for his concluding remarks. 
Hans-Holger Albrecht: Thank you, Marc. Maybe just a short final summary. Let me highlight, again, that our growth, as we have seen in the fourth quarter, is accelerating, and we expect this to continue during 2014. We will continue to invest to build the foundation, to pursue our digital strategy and additional opportunities from Millicom. And all of this with the kind of underlying idea to take the customer a more holistic view and allow him to live his Digital Lifestyle in both the markets. With these investments, we are holding on tight to the opportunity to double our revenues by 2017, as we have mentioned in the Capital Markets Day last year. 
 We're now looking for your questions. So moderator, could we have our first question, please? 
Operator: [Operator Instructions] And the first question comes from Sven Skold from Swedbank. 
Sven Skold: A question on the strong numbers from South America. Colombia, how is the margin performing in that market? I was also wondering about revenue, but I think you said 20% up something in Colombia, in particular. Second, can you also update us on the UNE acquisition, how is it going? And if you could give us some numbers on UNE. I know it's not included in your numbers yet, but it's of interest, of course. 
Hans-Holger Albrecht: Yes. Sven, the Colombian market, obviously, is one of the strong performers we have seen in the fourth quarter and throughout the year. So the growth is over 20%, as I mentioned in the presentation. If it comes to the margins, despite this kind of strong growth, they are more or less stable in the region as they have been before, so no change in that respect. When it comes to the UNE acquisition, we're awaiting final approval, which we said will be probably during -- in the second quarter. It's not in our control, it's completely in the hands of the authorities. But we don't expect any kind of major issues or major delays going forward, so the kind of previous state still stays. And when it comes to the numbers of UNE, we don't have any and we can't reveal any therefore because, as I said, we are in the process of getting the approval. Until then, they're completely separated companies. 
Operator: Your next question comes from J.P. Davids from Barclays. 
J. P. Davids: I just got some question on Africa, which I hope you can answer in Arthur's absence. And then one on group strategy. Firstly, on Africa, you mentioned you're rebuilding a mass market brand. Two questions there. Firstly, how are you going to change distribution to become more mass market, particularly in big markets like Ghana and Senegal, where you're relatively sub-scale? And then secondly on that, how will you position your tariffs? Will you be aggressive on voice to become that mass market or is the focus really on bundling? And then moving away from Africa to the group strategy and more specifically Online, can you talk about the importance you put on controlling these assets. Given that's one of your strategic pillars, I would have thought you would like to accelerate the control of these assets rather than push it out. And I'm specifically talking about LatAm here. 
Hans-Holger Albrecht: Yes. Let me try, even in the absence of Arthur, to answer those questions, which as you know, normally. If it comes to rebuilding the product and becoming kind of mass market product -- I mean, there are several levels, of course, we are working on. I think the most fundamental point is that we have stopped the urban fortress strategy we had in the past and accept the kind of role of other network more aggressively into the region of each of the country, i.e., not just trying to stay in the centers and be more active on a countrywide basis. Because if you look at the kind of centers we're in operating normally, we have pretty strong market share. So it's -- quite often, it's not the kind of issue of the brand or the distribution, it's an issue of the penetration and the kind of market we are trying to tap in. And that is the kind of key point we do in all markets. In Ghana for example, we're doing the same. We are not as active outside Accra, where we have a higher market share than our national market share. Or in Senegal, it's interesting. Senegal is a special case because, as you know, during the dispute of the license, the level of investment was very limited. So it's a kind of catch-up situation. But even in those 2 markets I mentioned, we have a decent #3 position in Ghana. We have a good #2 position in Senegal. So it's a good platform to start from. But the end of the kind of urban fortress strategy is the one of the kind of the key changes we have amongst smaller ones. When it comes to tariffs, there are 3 factors. A, we do tariffs more segmented nowadays, so we are not going with the kind of better -- or one-price approach to the old customer base. But customer segmentation and customer -- specification in terms of what kind of we do is one of the kind of key features which we, on the back of new bidding systems and other things we have invested in last year, we should be able to do. The second point is that we see that we see that we test more the price elasticity. So bundling offers like with the MFS, or in the future, with other digital services like we have here in Latin America is one of the kind of key functions. And we know it has a positive impact on ARPU, but as well a positive impact on churn. And certainly, we can see that pricing in Africa has -- or pricing pressure in Africa has eased, so it's not as competitive as it has been previously. That may change, obviously, again in the future, but at least that is currently kind of a positive trend. And therefore, we believe we see the kind of similar trend like in Latin America and Africa that you get a stabilization on voice prices and you have still the upside when it comes to data prices. On the Online, I am not sure 100% if I got the question exactly right, so you may interrupt me. I think you were talking about the Rocket investment, are we want to manage this one after we don't have control? It's the fact -- I assume that was the question, was it? 
James Rivett: Yes. Sorry, just follow-up on that point again. It's really -- this a strategic pillar for the company, Online. And I just wanted to see how comfortable you were that you didn't necessarily control these assets, whether it be Africa or Latin America. And you're comfortable that you don't control these assets and yet make that one of your strategic pillars. 
Hans-Holger Albrecht: Yes. It's a fair question. I think we see MTN here in Africa and assuming it gets the necessary approvals, obviously, we're going to have a complete different governance structure in place with the board and kind of a number partnership levels. So the control level should improve, clearly, on that front. And secondly, even in the past and until now and until then, if you don't control phone, it's a business we have been working very closely with the founders and as the people from Rocket and those kinds of things. So you had a kind of certain element of the control in that respect. 
 But there's one other point as well which you always try to highlight is that those are not the only Online ventures we are doing. As I said, we're doing more on the Online, on the MFS side, we're doing more in terms doing more in terms of own products we are launching on maybe on the music side, the cooperation with Facebook, like we have done. So we try to diversify any of the portfolio of digital activities and online activities in the company, so not depending on just one pillar of potential growth. 
Operator: The next question comes from Nick Brown for Goldman Sachs. 
Nick Brown: Two questions please. Firstly, if I could follow-up on your Rocket investment. Are you interested in exploring similar partnership deals in Latin America as you've signed with MTN in Africa. And secondly, if the UNE transaction proves successful and cash generation improves, would you like to make further acquisitions in the future or are you happy with the current set of assets that you have? 
Hans-Holger Albrecht: Yes. Again, the situation with -- when it comes to Online -- and we have to settle probably a bit more the debates, which products we are talking on the side. There's e-commerce. They have the financial products. They have the service products and the classified products, for example. But in general, the basic idea was, as we always said, is some of the kind of products has a very close link to our business. And some ones are kind of extension of our business. But at the very end of day, it's all about scale and how fast you can penetrate the market. In Africa, we still believe the opportunity is very, very big. Nothing has changed in their respect. And it was a simply calculation, if you have MTN in as a partner, the potential going forward is significantly bigger than if you do it alone. They kind of bring a very good complementary footprint to the party. You're going to bring the same synergies in those markets like we can bring. And with the models we have been launching, which have been very good, I think we should see an acceleration of those ones. In Latin America, situation hasn't changed for us. So we are still very committed to Latin America as well. But in both markets, and that's the only thing we'd share, it's not that new, we have been always saying is we want to have other investments when it comes to Online than just Rocket. And so we're doing investment, as I said, in our own staff and in other partnership models as well. And it remains a very important part of our business and strategy going forward. When it comes to UNE and the acquisition, is there anything more afterwards? At this stage, we are very happy with the kind of footprint we have and the assets we work on. There will be a lot of management time and capital as well, allocated to the UNE deal in order to execute it and get the benefits out of there, but I don't foresee any kind of other major transaction in the near term when it comes for the company. 
Operator: The next question comes from Lena Österberg from Carnegie. 
Lena Osterberg: I was wondering a little bit about the Online partnership agreement in Latin America, because you said that you changed that now and I think you've changed the timing from 2015 to 2016 for the pass of control. I'm just wondering what has changed and why did you decide to do this? Also, if you can maybe give some indication of where you expect the 2014 sales and EBITDA for the Online business to go? I understand you don't -- will not report them separately anymore, but interesting to see if you still expect the business to trend the same way as you did for your longer-term guidance you issued before. And then also one question on Mobile Financial Services. Net adds accelerated significantly in the fourth quarter, which is very good. And I was wondering, is this sustainable or is there some sort of seasonality in the fourth quarter? 
Hans-Holger Albrecht: Okay. If I work through those kind of 3 points, on the Rocket deal and LIH, the only change we have made is that we don't see in the kind of near-term consolidation of the business and integration of the business, and we want to give it some time to see it performing. And as I said, we want we see what kind of opportunities we have in that market as well. It doesn't change our view on the opportunity as such, it just reconfirms what I said earlier and in other calls that we take this kind of investments from the vested perspective, and we need to be pretty flexible in adjusting to other opportunities or the new opportunities which are coming up. In terms of the sales and the EBITDA. It's correct, we don't give any guidance, any forecast anymore. However, the underlying trend we anticipate will continue. So we're going to see probably strong growth momentum in both operations there during 2014 as we have been seeing in 2013. We anticipate as well that the kind of correlation between growth and cash burn will stay more or less exactly the same. And in terms of the financial numbers, nothing has changed, really, compared to what we guided earlier, for example, in the Capital Markets Day last year. And one thing that's always hard to predict, of course, is how many new products do we launch and how fast those are going to -- the products are going to be rolled in other markets. So for example, the impact of MTN could be an acceleration of rollout of existing products, but it won't happen too much during this year, probably rather into next year when the deal is approved. When it comes to MFS in the fourth quarter, there is no special -- I mean, there is no special impacts or effects when it comes to penetration growth and revenue growth. The only thing which we have to keep in mind is that the fourth quarter seasonally, obviously, because the festive season and all those kind of commitments is a bit stronger than, for example, the first quarter in 2014. But there may be -- on a quarter-for-quarter basis, there may be some slight changes. But I think on the underlying side and their kind of rolling view, it should be actually the same. 
Lena Osterberg: I have a follow-up question then on Online. 
Hans-Holger Albrecht: Sure. 
Lena Osterberg: Do you expect to reach a similar partnership in Latin America with another company as you did in Africa with MTN? Is that the reason why you've changed your accounting view? 
Hans-Holger Albrecht: No. At this stage, as I said, the MTN was a perfect match. And in Latin America, we -- as I said, we are very happy right now on how it goes. If there's an opportunity with a similar partner, we will evaluate it and see if there's a bit of an equation for us or not and then decide based on those things. But at this stage, it's business as usual in Latin America. 
Operator: The next question comes from Barry Zeitoune from Berenberg. 
Barry Zeitoune: I've just got a few questions, please. First of all, in Bolivia, I saw some news flow recently that the government was wanting Intel to cut prices and be more aggressive in the market. I was wondering maybe you can just give us some color on what the political situation is like in Bolivia and whether that's likely to have any influence on your business over the course of 2014. My second question is on the changing consolidation for Guatemala. It was interesting that you've raised a new $800 million bond in Guatemala that I'm assuming will partly be refinancing the current debt and partly be upstreamed to the shareholders of which you are one. Now given that you're going to be fully consolidating it now, I'm assuming that those are going to be free cash flow leakage. Can you give us an idea what that dividend leakage to minorities will be from your cash flow in 2014, given that it's likely to be larger than it was in 2013? And then my third question is really on CapEx and on some of the comments that you made to J.P. about not just focusing on urban rollout now in Africa but a more general rollout. Is that likely to impact your medium-term CapEx expectations that you've provided in your last Capital Markets Day? And then final question is just on Rocket Internet, just as a follow-up. You're talking about wanting flexibility to invest in other Internet ventures outside of the Rocket portfolio. Is this something you've always been allowed to do or does not controlling LIH effectively give you more flexibility to make other investments? 
Hans-Holger Albrecht: Good. I'm going to take 3 of the questions. The consolidation question can then be answered by Marc later on. When it comes to Bolivia, it is like all of the markets we operate in, of course, a market where you have to observe the current political situation with great interest and finesse. However, overall, I would say -- I have to careful, I'm afraid. Overall, I think it is a pretty stable situation, it is pretty stable market. There's sometimes, some noise coming up, but it never turns into too much real trouble. And we had, last year, we had some regulatory impacts which have been negatively affecting us, but we don't see anything at this stage. So right now, we believe the situation is more stable, and things are not concerning us that much as it was previously. But it's obviously, it is a market where you have changes once in a while, which we then have to manage through. When it comes to the second question, I can answer. If it comes to the CapEx and the medium-term targets or the long-term targets or 15% in particular, I think, CapEx ratio to revenues, the rollout of the African network and the kind of investment into the regions of the African countries is not changing the kind of mid-term, long-term CapEx target at all. We see a kind of reallocation of more efficiency we are seeing in some markets like in Latin America, which we redeploy capital into Africa. And we see substantially more efficiency as well in the handling of our CapEx in Africa in itself by tighter control of the procurement by kind of one network design and by synergies we create between the countries. So it doesn't change fundamentally the picture in terms of CapEx and the ratio to revenues. When it comes to the Rocket investment and if we are -- never have been able to do those kind of offset investments. We have been doing those investments in the past as well, it happens sometimes maybe in the shadow of the Rocket point. But clearly, we see, as I said, if you look at the partnership we have with these on the music side, it has been very, very successful for us. If you look at the Tigo Sports launch in Colombia, that's been very positive for us. If you look at the currency exchange system, we have now with MFS in Africa. It's a strong product as well. So we allocate capital in the kind of fashion that we see that best benefits us, which is partly in Rocket. But if you free up capital, like we've done in Africa and see other opportunities, we may redeploy it into those kind of operations which are close to our core business. So those are 3 ones I can answer, and then I hand over to Marc for consolidation in Guatemala. 
Marc Zagar: Yes. So yes, to answer your question about the bond, we did raise the -- the local operation raised the bond in January for $800 million. The first purpose of that is going to be to refinance the debt and CapEx. There will be some upstreaming opportunity but in terms of details, we don't really disclose the dividends when it comes to our partners. 
Barry Zeitoune: Can I just ask one quick follow-up on Rocket. Does the agreement with Rocket restrict you from making certain kinds of investments in Latin America or are you free to pretty much invest in what you want to independently? 
Hans-Holger Albrecht: Well, we're not going to give any details of the arrangement we have with Rocket. But obviously, as you have seen and I'll give some examples, we're investing into other products and projects which are close to our business. So there is business as usual for us in that front. 
Operator: The next question comes from Stefan Gauffin from Nordea. 
Stefan Gauffin: I have a couple of questions. First of all, you maintain a stable dividend, but still have the ambition to grow the dividend. But how should we look upon this going forward? You seem to be focused on paying down debt going forward. So should we expect the stable dividend now until you're down at close to 1 or even below 1x net debt to EBITDA? Secondly, relating to the cable operation, there seems to be a lumpy build out of homes passed, so it's hardly been any geographical build out within the cable division over the past couple of quarters. How should we look at that going forward? And then -- yes, actually, that's the main questions. 
Hans-Holger Albrecht: Okay. Let's start with the dividend. Obviously, this is nothing management has to decide or can decide. It's completely up to the board and the shareholders. Clearly, the ambition of the company is to get ourselves back on growth. And in order to get growth, obviously, we have to invest into the opportunities, which is the current point which we're in. And therefore, the dividend stays stable during or for 2013 (sic) [2014]. Going forward, obviously, as well there is the UNE transaction, which is pretty transformational deal for the company and will increase our debt ratio as well, which you have to take into consideration. And then when it's time for the next round to decide on the dividend, I think the board will take a decision on that one. But clearly, debt profile will change, keep that in mind. And the growth or the investments we have to do in order to get the growth back into the company will take place as well, at least on the short-term side. When it comes to the cable operation, I'm 100% although I'm not sure [ph] exactly what you're referring to, but the kind of rollout is depending on the kind of, a, of course, the business opportunities. And most likely, what you are referring to is a kind of replacement of a kind of wireless connection we have towards the end consumer with the kind of fixed cable solution. And there, of course, you rollout and when you see the kind of customer profile and customer revenues, which make it feasible. And this is the kind of way you approach a cable rollout in the market. 
Operator: Thank you. We have time for one more question. And final question comes from Bill Miller from J.M. Harwell. 
William Miller: Is there anything in the growth rate in Colombia, your mid-20s growth rate, whatever it is, that would be applied to UNE that you can goose their your growth rate as well? And how long, if there is, will it take to apply those same growth principles to UNE? 
Hans-Holger Albrecht: Yes. Everything I'm saying about is speculative because, again, we are in the approval process, so we can't speak  [indiscernible]  about UNE to a large degree. Clearly, the starting point we have seen was a strong mobile growth -- once again, data, that's good platform for us to further business once it is approved with UNE in terms of cross-selling and the bundling products. And equally, I think, it will be beneficial for UNE of course in terms of growth rates going forward. But to be very concrete on the figures, obviously, we need to get the deal approved and then get to final figures, and then we can be more precise when it comes to UNE. But the good thing is that we're merging strong mobile business right now with the second-largest cable company, which in itself should be a good starting point do to further business in Colombia. 
William Miller: I have another question. With the MTN affiliation in Africa, can you take MFS and put it over their mobile platforms as well? 
Hans-Holger Albrecht: It's one of these -- I mean, the MFS business today is very linked into the kind of mobile business and needs a close cooperation with the mobile business. Obviously, this will evolve over time and the more financial products we're going to offer, of course, the less mobile platform operator it is depending. And then there may be room for opportunities in various fields. But at this stage, I think the most important point for us is to focus on they're getting the penetration and the customers in and then see all the kind of opportunities as a second phase. 
Operator: Okay. Thank you. That concludes the question-and-answer session. I would now like to hand the call back to Hans-Holger Albrecht. Please go ahead. 
Hans-Holger Albrecht: Yes. Thank you very much, everyone, for listening in. As usual, if there are more questions or you want to have a kind of follow-up discussion, Justine, myself and Marc are happy to take them. Otherwise, we'll see you at the first quarter call or latest I guess in the Capital Markets Day during the course of this year. Thanks a lot, and goodbye. 
Operator: Thank you. This concludes Millicom's financial results conference call. Thank you for your participation. You may now disconnect.